Operator: Ladies and gentlemen, thank you for your patience in holding. We now have your presenters in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of this morning’s short remarks, we will open the floor for questions. At that time, instructions will be given after the procedure to follow if you would like to ask a question. It is now my pleasure to introduce today’s first presenter, Christina Cheng.
Christina Cheng: Thanks, Shelby. Hello, and welcome to our 2022 Year End Earnings Conference Call. Joining us today are Mike Hsu, our Chairman and Chief Executive Officer; Nelson Urdaneta, our Chief Financial Officer; and Brian Ezzell, our VP of Finance. We issued our press release and published supplemental materials that summarized our results and outlook this morning. You can find these resources in the Event page of our Investor Relations website. Before we begin today, a few reminders. Our statements will include forward -- our statements today will include forward-looking statements. Please refer to the latest Form 10-K or 10-Q for the list of factors that could cause our actual results to differ materially from expectations. Our remarks will focus on adjusted results, which will exclude certain items described in our Q4 2022 earnings news release. Please consult our press release and public filings for more information about these adjustments and a reconciliation to comparable GAAP financial measures. Mike will provide his perspective of the business, and then we will open the floor for Q&A. With that, let me turn it over to Mike.
Mike Hsu: Okay. Thank you, Christina, and welcome to K-C. Good morning and thank you all for joining us today. Back when we introduced our strategy in 2019, we could not have imagined the unprecedented challenges we are about to face. Over the past four years, K-Cers did what we do best, provide great care, care that our consumers, our customers, our employees and our communities needed all around the world. At the peak of the pandemic, people counted on our brands to support the health and hygiene of their families, and I’m proud of what our teams were able to achieve to fulfill our purpose of Better Care for a Better World. Now as we look back at our results, there are three themes I’d like to emphasize. Theme number one, our strategy to accelerate growth is working. Since 2019, we’ve grown our business by about $1.5 billion in sales and delivered 4% average organic sales growth. In that time, we’ve accelerated our organic growth by improving our product offering and market positions, with meaningful innovation and world-class commercial execution. In 2022, organic sales increased by 7% and over delivering on our goals at the beginning of the year. This was achieved in what turned out to be a uniquely challenging global environment. 2022 also marked Kimberly-Clark’s 150th anniversary, a year in which we celebrated generations of category defining innovation. We’re proud to have created many of our categories, including feminine care and facial tissue under the leadership of our Kotex and Kleenex brands. We are inventors at heart. New products created during the last three years contributed to over 60% of our organic growth in 2022. Whether it’s Kotex DreamWear for ultimate overnight protection, or Kleenex Allergy Comfort, our product obsession, advantage technology and consumer-centric focus is enabling us to create meaningful value and accelerate category growth. This is perhaps most evident in China, where we continue to post double-digit organic growth in the face of a declining birth rate and challenging COVID operating conditions. With major upgrades in dryness and thinness, our products are among the best in the market, led by Huggies Super Deluxe, the softest diaper in China. Our strong portfolio supported by superior technology will continue to anchor Kimberly-Clark’s leadership in the world’s largest baby and child care market. Theme number two, we’re making strong progress on margin recovery. Over the past two years, we faced unprecedented inflation worth over $3 billion, a roughly 1,500 basis point headwind to gross margin. Our teams have done an excellent job mitigating this impact. Our product leadership, commercial agility and cost discipline enabled us to rapidly implement broad pricing actions and generate over $700 million in cost savings. The successful implementation of revenue growth management actions drove an inflection in our profitability in the second half of the year. Gross margin stabilized in Q3 and increased year-over-year in Q4 by over 200 basis points. This was our first major improvement in the last eight quarters. Collectively, these actions enabled us to fully offset inflation and currency headwinds in 2022 on a dollar basis. Recently, market prices of some inputs have begun to ease, although they remain elevated relative to pre-pandemic levels. While we’re encouraged by this, it will take time for these benefits to work through our contracts and flow through the P&L. Nevertheless, we’ll continue to leverage our scale to improve efficiency and reduce costs. At the same time, we expect our revenue management efforts will continue to positively impact this year. This will aid ongoing gross margin recovery while also enabling us to continue investing in our business. At the midpoint of our 2023 guidance range, we plan to improve operating margin by approximately 80 basis points. With incremental headwinds below the line, this translates to 2% to 6% growth in earnings per share in 2023. We also intend to increase our dividend for the 51st consecutive year. Theme number three, we will continue to invest to drive balanced and sustainable growth. We’re scaling innovation that delivers better value, more benefits and better care for our consumers. We continue to see strong demand for great performing products. New Poise Ultra Thins and expanded sizing for the pants drove share gains in adult care, both from a dollar and unit standpoint this past year in North America. We’ll be launching several exciting initiatives in 2023, including our GoodNites Youth Pants, which can hold the equivalent of three bottles of water! as well as exciting performance upgrades for Huggies diapers. At the same time, we’ll leverage the broad range of our offering to address the growing need for value through compelling commercial programs. Now to wrap up my prepared remarks, I’m very proud of K-Cers around the world. They continue to execute with excellence, standing tall in the face of countless challenges all to fulfill our purpose of Better Care for a Better World. We’ve assembled an excellent management team that has tremendous experience unlocking global growth. We have a long runway of growth ahead of us, and we’ll continue to invest in balanced and sustainable growth to create long-term value for our shareholders. Now Shelby, if you wouldn’t mind, let’s open the line for questions.
Operator: [Operator Instructions] We’ll take our first question from Dara Mohsenian from Morgan Stanley.
Mike Hsu: Good morning, Dara.
Nelson Urdaneta: Hey, Dara.
Dara Mohsenian: Hey, how are you?
Mike Hsu: Good.
Dara Mohsenian: So, I just wanted to go into the 2023 outlook in a little more detail. First, Mike, can you just outline what you’re assuming for pulp prices as you look out to next year? I’m assuming you’re not fully using the RISI forecast, but maybe you are, just any clarity there would be helpful. And then you talked about the greater investment in growth in people by 100 basis points to margin. Can you just help us understand the motivation behind that? Are there specific areas of opportunity? Is it more you had to pull back a little bit in 2022, just given such a tough commodity environment? How are you sort of thinking about that? And also maybe just a little more detail on functionally where you are spending, is it ad spend, or is it other areas, is it headcount and maybe geographies and product categories you plan to invest? So that would be helpful. Thanks.
Mike Hsu: Okay, we’ll do, Dara. First of all, I feel great about where the brands are globally and where our business is, and we can talk about performance in the fourth quarter and I know we’ll get to that. But overall, I’d say we plan to deliver a better performance in 2023 for sure. We’re going to build on our organic growth momentum. Dara, clearly in the plan for next year. There is plenty of carryover pricing, but there are new pricing actions in the plan as well. Most of those have already been announced to our customers. But in terms of the investment, I would say, I’m really excited. We got a robust innovation and commercial program for 2023. In some ways, if I calibrate, I think this year will be stronger than last year, and we feel good about that. Consumer demand in our categories generally remains very resilient. And so I think from that aspect, we have good things to invest in. In terms of the overall spending, we are taking advertising back up a little bit more, just for reference, and we haven’t discussed this as much. But obviously, with the challenges that we’ve had over the last couple of years, we had pulled back slightly over the last couple of years. And so some of this is returning back to where we were back in -- perhaps back in 2020. But beyond that, I’d say it’s more based on the merits of the commercial programs that we have. And we’re excited about the programs that we have and we want to invest behind them. And at this point, you’re probably aware, Dara, we’re pretty good at evaluating the returns of our investment and making sure that they pay out. And so we feel great about that. So from the organic momentum, we continue to see that. I will say we expect continued progress on margin recovery while we’re making that investment. We’ve got high single-digit operating profit growth while offsetting, I think, what we said in our release, about $600 million in inflation and FX headwinds. And so yes, we are restoring some between the lines. But obviously, as you saw, the non-operating items really kind of get us back to that mid-single-digit EPS guide, or low to mid-single-digit EPS guide. So I will say -- and before I let Nelson -- Nelson will comment on the pulp. I’ll say, Dara, we are aiming for the top of our range internally, right. And I think we did the same thing last year. I’m glad we did because when we came out this time last year, I think, we were calling for about $700 million of cost inflation. We ended up seeing closer to the $1.7 billion and still stayed within our original range. As I mentioned, we have very high-quality plans for this year. We’re really excited about that. So we’re aiming for the top end of the range. Why we call it the way we are? Well, volatility remains extraordinarily high. And so if you have a good call on interest rates, FX, the war, energy, supply chain, COVID, civil unrest, there is a lot going on. So that’s a mouthful. Maybe I’ll pause and let Nelson comment on pulp and then Dara if you have any follow-ups.
Nelson Urdaneta: Yes. And to add, Dara, in terms of pulp and the fiber complex as a whole, I think, just to give a little bit of context of where we’re at. Overall, the fiber market prices have plateaued in Q3, and they actually began to turn slightly in Q4. And to your question as to do we take RISI as a reference, yes, we take it as a reference. And just reiterating where we’re at today, prices have more or less remained largely in line with where we in Q3 and what we’re projecting into this year is that on average, eucalyptus, as an example, would be down 10% for the full year. Now same goes for fluff, and NBSK and some of the other components of the whole fiber complex. We would see prices begin to ease throughout 2023. One thing that we need to take into account is that we don’t cover at RISI. I mean we actually enter into specific contracts in all the different components of fiber. So what you see in RISI or some of these indexes does not necessarily translate one to one at that time to our P&L. So that’s also what’s playing out. To give you a context, out of the commodity inflation of $200 million to $300 million that we’re quoting in our guidance. The pulp complex as a whole is right around half of that at the midpoint. We will see pulp as a whole, be up for us in 2023 based on what we’re forecasting at this stage, albeit a very small number compared to what we’ve seen before and markets are giving up on that end.
Mike Hsu: I think I’ll add, Dara, is also, while we’ll take some of those declines that you see in RISI will take a little time to work through our system. I would say if you saw a spot in what we’re paying you want to pay what we’re paying.
Dara Mohsenian: Great. That’s helpful. And just one quick follow-up. On the higher ad spend, are there specific geographies or product categories you’re most focused on, Mike? And then if I can slip one additional question in, also just the FX guidance for 2023. The revenue guidance is worse than our currency models indicate based on your country exposure. So just any clarity there would be helpful, but also the flow-through to profit look pretty severe in terms of the FX impact to profit relative to revenue. So any clarity there would be helpful. Thanks.
Mike Hsu: Yes, the spending, Dara, I would say it’s broad improvements. I mean, certainly, in our major markets like the U.S. and the diaper category, for sure, we have great news that we want to make sure that we’re supporting appropriately. I think I cannot share exactly what that news is because it’s coming out in the second half. But it will blow your mind when you see it. And it has to do with -- not to say this on an earnings call, but the poop side of things, and so that’s kind of the business we’re in. And so we’ll do miraculous things with poop. And so that’s one set of areas. We’ve got huge momentum in China, and we feel great about that. The team is doing a fantastic job. We’re going to continue to plow and invest in the brand and the advertising in our digital capabilities in China. And so those are two core areas. But obviously, we have strong traction around the world, and we feel good about our investments around the world.
Nelson Urdaneta: And addressing the question on the ForEx, Dara, just to unlock that a little bit, so for next year on the top line, we’ve said that for the full year, we’re talking around two percentage points of a drag. And it’s important to highlight that we are seeing that concentrated in the first half of the year, when we do the comps year-over-year. I mean we would not -- we would see that really ease or not be that much of a headwind as we get into the second half from a top line standpoint. So you could work that out and there. And then when we go down to the flow-through to the bottom line, a couple of things. As a reminder, we’ve got about half of our revenue coming from overseas and about a third of our profit coming from overseas. But we do have a significant amount of costs that impact the P&L, either exposed to hard currencies in the foreign subs in which we operate. The other element you need to take into account as you model is that we’re not covering the spot rates. I mean, we have particular risk management strategies in place that I’m not going to get into details in the call, but we have to work through those risk management strategies as they flow through the P&L. As you know, that’s not a one-to-one if you’re engaging in hedging and doing risk management strategies that we do.
Dara Mohsenian: Great, thank you.
Mike Hsu: Okay, thanks Dara.
Operator: We’ll take our next question from Chris Carey with Wells Fargo.
Mike Hsu: Good morning, Chris.
Chris Carey: Hi, good morning. I just -- so one follow-up on the currency piece and then another question. But just on the currency piece, I think it’s getting so much attention this morning because it’s such an atypical multiplier versus what we’ve seen here, right. And so -- and I appreciate there’s hedging and it sounds like that’s something you have good facility into. So maybe I’ll just take that as a given. And what -- how should we think about an improvement in currency or a worsening in currency? So you’re hedged, does this now -- is this now the outlook? Or should changes in currency imply a change in what’s going to be flowing through on your model this year. So perhaps you can just help us understand that.
Nelson Urdaneta: That’s a fair question, Chris. And a couple of things, obviously, on top line, it will be what it will be because we don’t hedge top line. So that’s in essence what’s going to happen, so it will translate. When you go to costs, we have models in place for risk management strategies, and there are currencies we hedge, there are currencies we don’t hedge, and it depends on the amounts we do. So it’s model-driven. So changes in currency, to your question, would have impacts. Now it won’t apply to all the currency payers because it depends on where we’re at, at any given point in time. So definitely on top line, yes, we will see that very fluid as markets move, and that’s happening literally on the hour. As to profits, we will also see, to some extent, some flow as the currency changes and we update our models depending on what’s hedged and what’s not hedged.
Chris Carey: Okay. Okay, thank you. Just given, I think one other thing this morning is that the commodity outlook relative to what we can see on even forward prices would suggest worse than expected probably on that front. Clearly, you’re saying more of that’s happening in international markets may be harder to track. So I think that makes sense. But nevertheless, we’ll probably end the year now at a gross margin of, say, 32% still a few hundred basis points below pre-pandemic operating margins even farther below pre-pandemic. And I think conceptually, the organization does have goal to get back to that margin structure. It just feels like with commodity volatility and the non-operating inflation that you’re talking about. Do you still think that’s a realistic medium to long-term objective or has the inflation been such that there’s probably not enough pricing and savings to get you there or at least it will take a very long time. So, any thoughts on that.
Mike Hsu: Yes, Chris, I definitely feel like it’s a realistic goal, and I think we’ll get there. And my view is we’ve turned the corner on our margin recovery program. We -- obviously, we saw in the fourth quarter continued strong organic performance. But for the -- I said this in my prepared remarks, pricing exceeded input costs and inflation for the full year. So, we fully offset inflation and FX for the full year last year. So, I think the teams did a great job there. And our operating margin, as I said, stabilized in Q3 and expanded by 200 basis points in Q4. In terms of the cost outlook, so I think we’re making great progress there. And let me say this about costs. One, from my seat, I’ll say there’s -- I see green shoots, okay? But even though we still see cost headwinds coming into the year, there are green shoots, and we have seen selected commodities start to ease. And I’ll also say, having been in this company for 10 years, reversion is around the corner. When it happens, it happens fast. We offset extraordinary headwinds over the last couple of years, as I mentioned. We see another 600 this year. Historically, though, there has been rapid reversion, and we’ve seen some signs of it. I don’t have a timetable for that. I don’t know if it’s going to hit this year or not. But at some point, it will happen. And when that does happen, it will accelerate our margin recovery. And as I said in the past, we’re not counting on reversion to deliver the margin recovery. But when it does, it will accelerate our time line, which is why I feel confident about it because we all know $3 billion over two years, it’s not going to stay at that level, right? At some point, it’s going to come back down.
Nelson Urdaneta: Just to add a little flavor on the gross margin, too, Chris. A couple of things, we had three quarters in a row where we actually expanded gross margin. And as Mike pointed out, for the first time in Q4, we grew gross margin year-over-year versus the last time we ever did that was back in mid-2020. So, it had been a few quarters. That had not been the case. And that reinforces Mike’s point that what we have been talking about since July of really remaining committed and having line of sight to recovery in the margins is going to happen. As we stare at this year, our plan calls for year-over-year margin expansion in gross margin every quarter. That’s what we have in place. I think you quoted 32% of gross margin, it’s actually higher what we’re aiming for at the -- for the full year because we’re expanding operating margins at the mid-point of our plan by 80 bps. If you look at what we put out in the release and the remarks, we’re investing about 100 basis points of net sale into the brands. So we got to add that back to that 80 bps, and that gives you a sense of what at least is going to be the gross margin expansion that we have planned in here. So we definitely have -- we’re building on those green shoots that Mike say in, but we’re not staying sitting here. I mean we’re moving on the productivity line. We’re moving on the margin accretive innovation, and we’re also moving on the net revenue growth management programs that we have in place. So all of that is really putting us there. And as Mike has said in the past, reversion will accelerate this. That’s the only thing that would do that, so.
Chris Carey: So can I just confirm, and I apologize, because I’ve gotten questions on this, and I’m going to get back in the queue. Do you expect gross margins up, but the 100 basis points is what you’re investing into gross margins. So if you can you just maybe confirm what your expectation for gross margin is for 2023? Because I think there has been some confusion.
Nelson Urdaneta: Yes, yes. I want you to add, right. So it would be like this. We have 80 basis points of operating margin. You add 100 basis points that we are reinvesting into the brands. That gives you 180 basis points by which at least gross margin would have to expand.
Mike Hsu: That makes sense?
Chris Carey: Okay. Yes. Thanks so much.
Nelson Urdaneta: That’s the math.
Chris Carey: Right. Thank you, both.
Mike Hsu: Okay. Thanks, Chris.
Operator: We’ll take our next question from Steve Powers with Deutsche Bank.
Mike Hsu: Hello, Steve.
Nelson Urdaneta: Hi, Steve.
Steve Powers: Hello, good morning. Good morning. Just to pick up on that math because that’s sort of the math that we’re working with too. But that implies, if you take the numbers literally that the 23% gross margin objective is a tick below the 4Q 2022 gross margin that you realized. So just to Nelson’s point about seeing that progressive gross margin improvement sequentially, it doesn’t imply a lot more movement in 2023. So maybe just talk about that in the context of, overtime, easing costs and the like.
Mike Hsu: The road to margin recovery is an buffy one, Chris -- Steve.
Nelson Urdaneta: So Steve, I think a few things that -- just to add a little bit of color or how we get there on the math. So I think the important thing to take into account is we’re staring right now at about $250 million of commodity costs at the midpoint, as we’ve guided. We have about -- in terms of currency, about $350 million at the midpoint in currency. And then in other costs, we have around $200 million. So when you add it all up, we will be for another year in a row, having a significant revenue growth management realization that we’ve planned for, which, by the way, around two-thirds of that is solely carry over from 2022. So what happens at the end is, for the year, we’re going to be realizing positive pricing net of commodity and ForEx, whereas last year, we were pretty much neutral. We were able to fully offset the $1.7 billion. So that’s going to flow through. And exiting Q4, it’s not a straight line as Mike indicated, because, again, the quarters are pretty different and the dynamics between the categories and the mix and our cost impact us differs. But the reality is that on a year-over-year basis, we continue to expand margins, and it would be quite the game because if you recall, our pre-COVID gross margins were around 35%. So we would be getting -- we would be making pretty good advance on the full year with the movement that we’re planning for.
Mike Hsu: Yes, Steve, and maybe I’ll just add for context, I mean, I wasn’t trying to sound facetious, because when I say it’s a bumpy road, I’m not one for hyperbole and I think I said in my prepared remarks, unprecedented a few times. And so there’s been unprecedented effects kind of on the demand side and on the supply side, just in terms of demand, obviously, COVID in and out, the war, which caused demand to change in and out, then you have all the supply issues either associated with COVID, the war or just the product availability or transportation availability. So there’s a lot of things moving around. Then you throw in our Texas storm, which, at this point, I’m on the third order impact of the Texas storm. And so you got all that. There’s a lot of volatility inherent in the numbers, and they were not consistent quarter-to-quarter and very unusual in our business, because typically, I think you all are right, this tends to be a very stable business. But because of that, both from a demand perspective and a cost perspective, things are going to move around from quarter-to-quarter a little bit.
Steve Powers: Okay. That’s fair. And I agree. Unprecedented has become the new precedent. So two other, I guess, follow-ups, if I could. One is on the enhanced essentially net pricing, revenue growth management. I guess, you talked about mostly carryover. That’s great. That makes sense. In terms of the incremental, is -- do you anticipate incremental actual pricing actions versus just kind of other RGM actions? And you -- just some color around where those might occur and what portion of them are actually list price movements versus count reductions, that kind of thing would be helpful. And then another thing that you mentioned in the release, it’s been a topic across other companies that have been reporting just in terms of retail inventory levels and some downshifting in terms of trade inventory levels, just some color around what you’ve seen and how you’re thinking about destocking inventory levels across the trade as you go through 2023? Thanks very much.
Mike Hsu: Okay. Thanks, Steve. Yes. First of all, we’ve moved fast on pricing the last couple of years, right? And so I’m really proud of the team and their ability to fully offset inflation on a dollar basis in 2022. But for the plan this year, I would say, the majority of our pricing is like -- is going to be carryover, but we have taken new actions, some list pricing, which is, in general, across most markets already been announced into the marketplaces. But there are additional RGM actions we’ve taken as well that you might say, whether it’s promotional changes or productivity around trade spending. So those are the more typical that are kind of evergreen programs that we’re going to have in place. But overall, we feel very good about our RGM, our revenue growth management capability. It’s executing well. If we didn’t -- if we had not invested in it, over the past five years, we would not have been able to make the moves that we’re making. And then in general, I think it’s been working very, very well. In general, I would say, demand is holding up pretty well. I know that will be a topic people will want to double-click on. But I would say the elasticities are holding up, in general, better than we modeled originally. So that maybe, hopefully, that’s it on the pricing one. Any follow-up, Steve, on the pricing?
Steve Powers: No, that’s great. Thank you.
Mike Hsu: Okay. And then retail inventory, it was interesting. Nelson and I were at a conference in September -- Lawrence Conference in September and almost every investor asks us about retail inventories, because it was starting to change for a couple manufacturers. It had not affected us at -- that was back in September. I would say, subsequent to that meeting, perhaps a week or two afterwards, we started getting news from retails that they were going to look at retail inventories as well in our categories. And it’s happened. I would say it’s been typical, generally typical to kind of what we’ve experienced year-over-year. So in the fourth quarter, I’d say, it came in about what we forecasted. It did affect the consumption, because if you look at North America, I think our overall organic between tissue and personal care was up 1%, which is a little soft relative to what the consumption was. And in my mind, consumption is really what the business is really performing at. And so you’re going to have some other changes that affect your shipments. But over the long-term shipments must equal consumption in my book. And so consumption for the quarter was up 7% in personal care and 7% in tissue. So we feel like the business remains very healthy. But we work through some typical retailer inventory issues.
Steve Powers: Okay. Very good. Thank you.
Mike Hsu: Okay. Thanks, Steve.
Operator: We’ll take our next question from Anna Lizzul with Bank of America.
Mike Hsu: Good Morning.
Anna Lizzul: Hi. Good morning. Thank you so much for the question. I was wondering if you can comment from your guidance on why most of your inflation is outside of the U.S. in 2023. Meaning what is different really in terms of the markets outside of the U.S. in terms of rising costs? And then I have a follow up.
Nelson Urdaneta: Yes. In general, inflation -- so a couple of things. Out of the commodity inflation, the one we’re quoting, the $200 million to $300 million impact, the majority of that bucket is on the international markets. So the U.S. would be not the big -- the market largely impacted by that bucket. However, when we move down the line obviously ForEx would be mostly in -- would be the international markets as you could see. But then on the other cost, it’s broad-based. So that would be broad based across the portfolio.
Anna Lizzul: Okay. And then just how should we think about the phasing of your forced cost savings through the year, just given the rising input cost are more pronounced in the first half. Should we expect greater cost savings to offset that in the first half as well?
Nelson Urdaneta: Yes. As we’ve said in the past Anna, our FORCE savings are not linear and it all depends on movements within the quarters go live of projects. And it is very difficult for us to predict exactly how it comes into play. I would not skew FORCE into the first part of the year because typically, we’ve got a lot of projects that are going live. We’re still dealing and managing through some challenges, especially internationally on the supply chain bid. And that weighs into how FORCE plays throughout the year. But I can’t give you a specific percentage of what you should be planning. But I hope that helps guide you as to how we’re thinking about it.
Anna Lizzul: Okay. Thanks very much.
Mike Hsu: Okay. Thank you, Anna.
Nelson Urdaneta: Thank you.
Operator: We’ll take our next question from Andrea Teixeira with JPMorgan.
Mike Hsu: Hi, Andrea. Good morning.
Andrea Teixeira: Thank you. Good morning. How are you? So I wanted to just perhaps hope to bridge the top line guidance a bit between volume and pricing. And Nelson, I understand you mentioned obviously you have some carryover impact of about two-thirds, I think you’re called out from pricing. So it implies that potentially you are announcing or embedding some additional pricing. So first of all, wanted to check on that. And by my math, probably you’re embedding flattish to slightly up volume for 2023. So I’m hoping to figure what regions would that be? And related to that from a regional perspective, D&E it was a bit softer in the fourth quarter. I understand like you called out Southeast Asia, and I’m thinking, and correct me if I’m wrong, Softex being an acquisition that you made towards the end of 2021. Perhaps there’s some puts and takes there. Anything you can add in terms of like 2022, it seems to me was a year that D&E had a very strong year. And actually, sorry, developed markets had a very strong year. D&E was a little bit softer. Is that going to reverse, because you’re obviously having tougher comps in China and in developed markets? So if you can help us with that.
Mike Hsu: Okay. Maybe Andrea, I’ll start with the D&E and then maybe Nelson you can come back in on the on bridging the top line. D&E, yes, it did soften. So in Q3 I think we were up about 11% Andrea, and then it was plus 2% in the fourth quarter. I would say, as you already talked about primarily due to what I would call discrete challenges in Southeast Asia. So what we’re doing is, we’re excited about our business in Indonesia, it’s great business, great brand. I would say we’re working through some business approaches that we prefer. And so that’s had an effect of the year. They did things a certain way, I prefer to do them a different way. And so we’re just working through that. And that had an impact on sales kind of in the quarter. Hopefully we’re through that. And then beyond Indonesia, we’re seeing a little increased competition in Vietnam and India. And so we’re going to work through that and something that’s been going off and on for a couple years now. Beyond Southeast Asia, China was up double-digits. Latin America was up in the 20s, and Middle East and Africa was up mid-single-digit for us. So, we’re still, we still feel very good about our D&E performance overall, but recognize we have a little bit of work to do in Southeast Asia. I mean, the team overall is doing a great job executing bringing innovation into these markets, driving the price execution, which we’ve talked about and we feel great about our commercial programming for this coming year. Does that give you enough on the D&E?
Andrea Teixeira: Yes. No, I guess on the developed markets though, what is embedded in your guidance? Because I’m assuming you are thinking of elasticities just kicking in stronger for this year or because it seems as if, at least in North America, I know the puts and takes from North America growth was subdued in the fourth quarter. So hoping to see if there is any puts and takes as you took more pricing and what is -- what are you embedding into 2023?
Mike Hsu: Yes, well, let me just say, we had great performance across developed markets in the fourth quarter. I think generally, approaching a double-digit in developed markets outside the U.S. U.S. as I mentioned, was up, I think if you add tissue and personal care was up about 1%, mostly driven by retail inventory changes differences. We exited a private label contract that was pretty significant. We exited or changed timing on a pretty significant promotion at a big retailer. And so that affected I would say the fourth quarter overall in the U.S. But overall, I don’t think we’re putting out a number there specifically on each of these segments, but we are expecting continued good performance both in North America and developed markets internationally and very excited about the plans going there too.
Nelson Urdaneta: It’s strong innovation as well. I mean, for all the developed markets, we’ve got very pretty strong innovation pipeline that’ll come through. But going back to your deconstruction of the top-line I think a couple of things I’d like to highlight on the year and how to think about it. As first and foremost, we -- as we go through the year, it’s important to note that the first half of the year will be more muted. And when we say more muted, it’s important to take into account the fact that one, we will still lap the private label exit in North America that we talked about just now. So that’ll continue to impact us in the first half. And then the other bit is also we’re lapping very strong comps from last year. As you remember, we grew 10% in the first half and we grew 5% in the second half. And then the third point is, we will still have a lot of pricing that on a year-over-year basis is coming through in the first half because of the carryover. So all that put together would put pressure on volumes, because of those three reasons as we think of the first half of the year, as we go into the second part of the year, then that would ease, and that’s our expectation. And that’s the way that I would think about it, Andrea.
Andrea Teixeira: That’s helpful. Just as one clarification that’s missing on the, when you said two-thirds of the --correct me if I’m wrong, I understood, it’s like everything that you have in plan, in terms of pricing is about two-thirds carryover, so it implies that you have another one-third of pricing to come through in the plan?
Mike Hsu: Yes. And I said earlier, I can’t remember, maybe it was with Steve, but yes, we have a significant portion of carryover pricing that was launched last year that still carries over into this year. And then we’ve taken additional pricing actions since then. And so we’ve generally announced pricing actions across markets that are taking an effect this quarter. And so that’s also factored in the plan.
Nelson Urdaneta: Yes, they go into effect in the biggest markets at the end of Q1.
Mike Hsu: Yes, and then on top of that, as I said to Steve, we have additional RGM actions or revenue growth management actions that are more typical in Evergreen [ph].
Nelson Urdaneta: Like hyperinflationary markets. So where, we have that pricing as part of the overall number.
Andrea Teixeira: Super helpful. Thank you for the clarification. I pass it all.
Mike Hsu: Okay. Thank you, Andrea.
Operator: We’ll take our next question from Lauren Lieberman with Barclays.
Mike Hsu: Morning, Lauren.
Lauren Lieberman: Good morning. Thanks. So want to talk a little bit about consumer behavior in North America and elasticity. So, I guess first on personal care, I’m sure you’re not going to give us a number, but if I make some rough assumptions around the private label exit and inventory destocking, it looks like elasticity is less than kind of a one for one on the North America personal care business. So just kind of curious on your perspective on that and knowing how much of your innovation has been premium over the last few years. What you’re seeing in terms of trade down behavior, because the market share data looks not great, the brand is losing shared of private labor all label overall, but your shares look a little bit softer. And then just on tissue, there obviously expect there would be significant elasticity. There always is. But what are you seeing there in terms of that a timeline to that kind of stabilizing? Should we think about it as when you start to lap the price and that the volume stabilizes? Or is the consumer under so much duress that there’s space for that trade down to persist?
Mike Hsu: Okay, Lauren, I knew you were going to ask this, and so Russ and I were on the phone last night working through this, and so as so anyways here’s a couple things. One, let me just say in North America and I would say globally overall, we’re seeing a resilient consumer. And I think that does reflect the essential nature of our categories. Generally, as you know, our POS or consumption volume where the POS Nielsen sales is in line with expectations. As I mentioned, our shipment volatility has been a little higher just because of some of these discrete items that we’ve worked through. This is the thing Russ and I were looking at last night. I definitely would say observed elasticity was slightly higher or the elasticity impact on volume was a little bit higher in the second half than the first half. But remains, I would say far below what’s modeled. And I think that does reflect the nature of our categories as being essential. And I’ll throw a couple numbers at you. And these are category numbers, so not brand and they’re public anyways, so not proprietary us. But in Q4, pricing was up 7% in diapers and Eq, right, equivalent units, the measure of volume was down three. And so I think as you point out, therefore, the implied elasticity impact is less, certainly far below one to one. The thing that I would throw in there on top of that is in the second half us and our competitors have made a lot of count changes across all these categories. And so the Eq definition includes count reductions because it’s based on a standard unit, right? And so my venture to guess almost half of the volume decline is related to count and tissue sheet count changes. So that was diapers and then the bath tissue, yes, for the fourth quarter price was up 11 for the category and volume was down seven. And recognize, I might factor in, three or four points of that seven is likely to be sheet count changes. And then adult care of the outlier because, price was up eight and then volume was still up, right up to. And the delta, I think those were all fourth quarter numbers. What we -- and the reason I say the elasticities kind of seems like the impact has increased slightly in the second half. Is -- in the first half, pricing was up mid to high single digit and volume continue to be up. And so there is a difference. I think the consumer environment was different. I do think there is more pressure on the consumer, but I still think the category remains very resilient because of the essential nature of the category. So I’ll pause there, Lauren. Is that answer?
Lauren Lieberman: Yes, that is great. And just the one piece that you missed was the relative market share performance.
Mike Hsu: Oh, yes.
Lauren Lieberman: In personal care and any kind of mix dynamics [indiscernible].
Mike Hsu: Yes, again, we feel very good about overall performance. At the brands, I think, in adult care, we were up 12% in consumption of the quarter. Feminine care, we’re up almost double digits. Diapers was down five. And the biggest driver behind that, private -- that private label exit was a minor one for us. But the bigger one was we have a large retailer that we knowingly shifted an event from Q4 last year, prior year into Q3 of this year. So we lost that. On top of that, they had a big private label event, which we know about and planned for. And that moved from Q3 to Q4. So there’s a double whammy on the share side, and that accounted for the majority of our share impact in the quarter. And that happened in October, I think the cycle for us. And so we saw later in the quarter, certainly, better performance from Huggies and we feel great about where we stand. And as I told you, we have -- this is the Disney 100. So we’ve got great commercial programs for our characters on our products. We’ve got great innovation that we’re really excited about. I hate to say, but -- well, when you come out and visit with us, we’ll take you to our war room on poop [ph] superiority. And so, but we feel very good about our offering and what we’re going to be doing there.
Lauren Lieberman: I mean, I’m going to put the poop superiority visit. I have my agenda for 2023.
Mike Hsu: I know it sounds funny on a call. This is the business I’m in.
Lauren Lieberman: Yes, no, I got it. I get it. And then I’d be remiss if I didn’t jump in on a modeling question. But just briefly on the FX headwinds relative to what just seemed like not terribly well timed hedges unfortunately. And then the wage inflation that you called out, just any dimensional like gross margin versus OpEx, just how to treat those as we work through the pieces?
Nelson Urdaneta: Yes. So, the 200 million is on the other operating costs. That’s all gross margin as you model it. And the -- in terms of the Forex, a meaningful portion of it would be gross margin. There’s a little bit on translation because of earnings, and there’s a little bit on mark-to-market of any liabilities or assets we have in foreign currency, but the lion share of it would be in gross margin.
Lauren Lieberman: Okay. All right. Great. Thank you so much.
Mike Hsu: All right. Thank you, Lauren.
Operator: We’ll take our next question from Javier Escalante with Evercore.
Mike Hsu: Javier, good morning.
Nelson Urdaneta: Hi, Javier.
Javier Escalante: Hi. Good morning, everyone. I would like to come back to this elasticity question. So you mentioned that it’s healthier, but yet your volumes are down 7%, and I’m sure you could have itemized how much is your underlying volume growth versus market growth? So if you can give us that, so what is the underlying growth without going to this happening in incontinence or diapers, just tell us, of the 7% volume decline, how much were one-timers? Because the other branded competitor also saw volume decline of 6%. And my concern is how -- what makes you think that you can keep pricing at these levels given what this contradiction between the elasticity that you mentioned that is better, but we see this mid- to high-single-digit volume declines?
Mike Hsu: Yes. I mean, Javier, I think the thing that you have to get picture is there’s a difference between what’s happening in consumption, right? And what’s happening sold-through to consumers versus shipments, right? And so -- and I think that’s what maybe the other manufacturer; I didn’t listen to their call, but I’m also supposing I think they probably lived through some of the same effects as us. There’s a difference between what’s consumed, right? And so I said for the quarter, in North America across our businesses, our Personal Care business grew in consumption by 7%. Our tissue business grew by 7%. In the long run, I think you’ll have to -- hopefully, you’ll agree that in the long run shipments should equal consumption, right? So you’re not going to perpetually deplete the retailer inventories or eventually grow retail inventories over time, right? So generally, that’s kind of what I look at as kind of the ongoing health of the business. In the quarter, we did see some discrete changes particularly as it relates to one, retailer inventory, which is probably the biggest impact for us in the quarter. But the other aspect for us is we did exit a pretty significant private label contract, which added a piece of it as well. So those are discrete items, in general, and I said on an earlier question, the retailer inventory changes for us, it’s about typical for what we normally see. And so -- and it goes back and forth from year-to-year, and so it tends to build itself back up over time. And that’s why I don’t view retailer inventory changes as representative of what’s happening to elasticity. I view what’s happening to consume volume and consume dollars, right, as to what’s happening with elasticity. Does that make sense?
Javier Escalante: Yes, I couldn’t agree more, but you have not quantified those one-timers. So what I’m asking you is to tell me, what do you think is underlying category growth for you...
Mike Hsu: Well...
Javier Escalante: ...the branded competitor and inclusive of private label because you are talking about price increases in addition to whatever carryover comes from this year. And we wonder to what extent you are taking too much pricing and whether you can keep it?
Mike Hsu: Well, all I’ll say is the underlying category growth in the fourth quarter was 7% for both personal care and tissue.
Javier Escalante: So what about volume, not pricing. I’m referring to volume declines of 7%, Mike, if you could explain the underlying volume compliance?
Mike Hsu: Yes, that’s the shipment volume decline and then the consumption volume decline was low-single-digit -- low- to mid-single-digit.
Javier Escalante: Go ahead.
Nelson Urdaneta: Javier, going back to your question -- to answer the question that you have on the one-timers, we have about 3 points would have been the one-timers. If you think of the inventory destock, if you think of the private label contract that would have been about 3 points out of that set.
Javier Escalante: Excellent. And then I have a more, a strategic question when it comes to private label. What do you see private label role in diapers, both in the U.S. and Europe? And to what extent that does it make sense to hold on to your operations in the U.K.? Thank you.
Mike Hsu: Yes. We exited our Personal Care business primarily, especially our diaper business in the U.K. about 10 years ago. So I’m not sure what you’re referencing there.
Javier Escalante: Andrex, the tissue business as well?
Mike Hsu: Yes. I mean, yes, we have -- yes, we have a great tissue business. It’s the market leader in the U.K. What’s the question?
Javier Escalante: The question is if you can tell us how is private label pricing in the U.S. versus the U.K., which we don’t have, I personally don’t have access to and whether it makes sense to hold onto the tissue operations in the U.K. given the situation there? Thank you.
Mike Hsu: Okay. I got it. I understand. Hey, yes, overall, again, we feel great about our brands and where their position is. Andrex we have taken significant pricing just as we’ve done in the U.S. this year. It continues to perform well and despite the price increases, it has grown share. And so it’s a leading brand in the United Kingdom and much by consumers. And so it’s a great business for us. Certainly, this year there’s room for improvement because of all the cost pressure. And so that’s the priority for us, as you’ve heard all here is we’ve been working to recover our margins on our branded businesses to offset the significant inflation that we’ve had over the course of the year. And I think the teams have done a fantastic job of that. That said our margins are still below where they were pre-pandemic, and so we’re working our way back up towards that.
Javier Escalante: Thank you so very much. Very helpful.
Mike Hsu: Okay. Thank you, Javier.
Operator: We’ll take our last question from Kevin Grundy with Jefferies.
Mike Hsu: Hey, Kevin.
Nelson Urdaneta: Hi, Kevin.
Kevin Grundy: Hey. Great. Good morning everyone. Thanks for squeezing me in, and Christina, congratulations, and welcome. Hey, Mike, just to maybe tie together some of the more recent questions I wanted to hit on your U.S. market share, which I think Lauren touched on a bit. And then the promotional environment, which Javier, I think was kind of getting at a little bit, but very specifically, how this plays out with the promotional environment. Some of the conversations we have with investors now is the pricing stick, is the consumer going to be able to with withstand it, particularly in some of your categories? And then obviously what’s going on with commodities is not lost on retailers either there’s still kind of a long way to go to get back to gross margin targets, but still more benign oil, pulp et cetera. And then, I’m sure your share is not quite where you want it to be in some categories, where it’s eroded tissue, diapers, wipes, et cetera. So question just around promotional environment, how you see this playing out in your categories, given the recessionary backdrop and more benign commodity cost environment, and then may maybe what you’ve embedded in your outlook? And that’ll do it for me. Thanks guys.
Mike Hsu: Okay. Yes. Kevin, let me try to package that up. I mean one, let me start with the share. It was a bit softer than we like in Q4, but I feel confident we’re moving on the right track. I mean, the softness was primarily in diapers for the reason I told Lauren, which is we had a big event come out and then a big private label event, which we happen to supply go in and so that had a big impact on market share in the quarter. For the full year we were upper, even in five of eight categories we were down in five and Q4, that’s why it, I said it’s softened in Q4, but we’ll get it back on the right track. I do think, I feel really good about our plans for this year and feel confident in our commercial activation in North America, and then, in nearly all markets around the world when we have a few discrete items we’re working across in international markets. In terms of the pricing environment, I would say the promotion environment right now remains competitive. But I would say overall constructive, given the cost environment, we’ve seen kind of, obviously the broad pricing actions from most manufacturers across categories. Promotion frequency has returned to normal levels, both in tissue and personal care. And that, that happened, a while back. I would say the depth of promotion remains a bit shallower than historical. And I think that’s related to the cost environment. However, on the consumer side, we can certainly, our, my comments on elasticity and the essential nature of our categories, notwithstanding, I do sense the consumers under pressure. And so, and we’re -- we’ve been, out talking to our top customers, and so we recognize that the consumer is working through some challenges pocketbook wise. And so, we’re going to meet them where they need us and make sure that we’re continuing to offer a strong value across our business. And the thing about us is, our aim is to lead our categories. And so we’re not really, we’re not a niche premium player. We want to play across both value and premium. And so we have a broad offering and we want to make sure we support our consumers effectively along that. But for the most part, yes we have taken significant pricing we are managing our promotions with discipline and we’ll continue to do that. I don’t know if that answers exactly, what you’re looking for, Kevin.
Kevin Grundy: I think that helps. But just to kind of tie that in with, with your intentions on the advertising and marketing, is it fair to say that should the promotional environment pick up because of a weaker consumer potentially from your position, trade down in your categories that you, it’s not optimal, but you kind of view that a hundred basis points in advertising and marketing. If you have to reallocate that to trade promotion as the year progresses, then you’ll cross that bridge when you get there. Is that a fair way to think about it?
Mike Hsu: Yes. We’ll, yes, I’ll say yes, we’ll cross that bridge when we get there. You’ll have to, no, my personal bias is I’m not a fan of driving the business through promotion. I don’t -- I can, we can do it effectively, because we know our ROIs on trade promotion as well as we know our advertising ROIs. And so and frankly, now the returns, on both are okay. I like the advertising ones better. And so that’s kind of my go-to. And I think it’s better for the long-term health of the brand. And frankly, Kevin, this is related to the question you’re asking. Our customers expect it. I mean, they they’re concerned about value for their shoppers. And so, they’re not the biggest fans of all these price increases, but part of what they’re looking for from us is to make sure that we’re bringing commercial programming to grow the category for the long-term. And they’re so, they’re excited about our innovation and they’re excited about the, the commercial ideas that we’re bringing this year. And so they, they want us to bring it. And so that’s probably the bigger reason, why we’ve ticked up the investment in our advertising.
Kevin Grundy: Got it. Very good guys. Thanks for all the time. Good luck.
Mike Hsu: Okay.
Nelson Urdaneta: Thank you.
Mike Hsu: All right. Thank you, Kevin. And Shelby, I’m going to make my closing comments. Hey, I’ll just say a couple things one, I’m confident in the strength of our brands and our commercial capabilities to position Kimberly-Clark for the long-term. I’m really proud of the focus leadership talent in this organization, and confident that we’ll drive business, drive our business great long-term shareholder value and fulfill our purpose of better care for a better world. So I want to thank you all for joining us today. And with that, we’ll sign off.
Operator: That concludes today’s teleconference. Thank you for your participation. You may now disconnect.